Operator: Ladies and gentlemen, thank you for standing by, and welcome to The Andersons' 2021 Second Quarter Earnings Conference Call. [Operator Instructions] I will now like to hand the presentation over to your host Mr. Mike Hoelter, Vice President, Corporate Controller, and Investor Relations. Please go ahead, Sir.
Mike Hoelter: Thanks, Valerie. Good morning, everyone, and thank you for joining us for The Andersons second quarter 2021 earnings call. We have provided a slide presentation that will enhance today's discussion. If you're viewing this presentation via our webcast, the slides and commentary will be in sync. This webcast is being recorded, and the recording and the supporting slides will be made available on the Investors page of our website at andersonsinc.com shortly. Certain information discussed today constitutes forward-looking statements that reflect the company's current views with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Actual results could differ materially as a result of many factors, which are described in the company's reports on file with the SEC. We encourage you to review these factors. This presentation and today's prepared remarks contain non-GAAP financial measures. Reconciliations of non-GAAP measures to the most directly comparable GAAP financial measure are included within the appendix of this presentation. On the call with me today are Pat Bowe, President and Chief Executive Officer; and Brian Valentine, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will be happy to take your questions. I will now turn the call over to Pat.
Pat Bowe: Thank you, Mike, and good morning, everyone. Thank you for joining our call this morning to review our second quarter results. We are very pleased with our performance as the company recorded its best second quarter since 2014, and each of our four business segments recorded improved year-over-year results. I'm also particularly pleased to note that our trailing 12 months adjusted EBITDA was greater than $340 million, well in excess of the $300 million run rate goal we established in late 2017. I'm very proud of our Andersons' team and the outstanding results they achieved through excellent performance in merchandising, manufacturing and providing extraordinary service to our customers. The Trade Group had another solid quarter, executing well in dynamic grain markets where tightening grain stocks have provided excellent merchandising and elevation opportunities. Corn and soybean growing conditions in our key draw areas are outstanding, and we anticipate good buying opportunities into harvest. Winter wheat harvest volume was better-than-expected in our draw area, and we're seeing some carry return to the corn and wheat markets. In our Ethanol segment, they recorded one of its -- the best quarters ever with income generated from strong co-product values and third-party trading results, combined with the reversal of unrealized mark-to-market losses resulting from our hedging programs. The Plant Nutrient Group also had a strong second quarter. It's best since 2014. As anticipated, margins were up in all product lines on tight supplies and strong demand. Fertilizer prices remain high and orders for the fall are being placed. Rail reported slightly improved second quarter results primarily on opportunistic scrapping of out of favor and end of economic life railcars for higher than normal scrap prices. We continue to see benefits from cost reduction efforts that were implemented over the last several years, although the strong first half results has led to larger accruals for incentive compensation. Now I'll turn things over to Brian, and when he's finished, I'll be back to discuss our outlook for the rest of 2021.
Brian Valentine: Thanks, Pat, and good morning, everyone. We're now turning to our second quarter results on Slide number five. In the second quarter of 2021, the company reported net income attributable to The Andersons of $43.5 million or $1.30 per diluted share and adjusted net income of $43.7 million or $1.31 per diluted share on revenues of $3.3 billion. This compares to net income attributable to the company of $30.4 million or $0.92 per diluted share and adjusted net income of $29.3 million or $0.88 per diluted share on revenues of $1.9 billion in the second quarter of 2020. Operating, general and administrative expenses increased to $19.8 million or 22% year-over-year, with approximately 80% of the increase relating to variable incentive compensation accruals on the strong performance to date. Adjusted EBITDA for the second quarter of 2021 was $118 million compared to $70 million in the second quarter of 2020. The adjusted EBITDA for the quarter was higher for Trade, Ethanol and Plant Nutrient. As Pat mentioned, we were excited to report trailing 12 months EBITDA of more than $340 million. Our effective tax rate varies each quarter based on the amount of income or loss attributable to the non-controlling interests. We recorded taxes for the quarter at an effective rate of 18.7% and are currently forecasting a full year effective tax rate of 25%. Next, we'll move to Slide six to discuss cash, liquidity and debt. We generated strong cash flow from operations before changes in working capital of $93.1 million during the quarter, up significantly from $61.8 million in the second quarter of 2020. Our year-to-date cash flows has nearly equaled our full year 2020 levels. Higher futures prices in the grain markets are the primary cause of our increase in working capital this year. The outstanding balance at June 30 of $757 million is supported by readily marketable inventories of $612 million and $220 million in cash margin deposits. Typically, our highest borrowings occur in the spring as a result of our seasonal businesses. And we've seen a reduction in our short-term borrowings compared to March 31 as inventories have been reduced. We continue to take a disciplined approach to capital spending, which we expect to be about $100 million for the full year. We have reduced long-term debt by almost $70 million since year-end. Long-term debt reduction remains a priority, and we expect to make long-term debt repayments of approximately $100 million for the full year of 2021. Now we move on to a review of each of our four businesses, beginning with the Trade Group on Slide number seven. Trade reported adjusted pre-tax income of $14.1 million compared to pre-tax income of $1.4 million in the same period of 2020. Merchandising income was strong compared to the second quarter of 2020 due to increased market volatility across our broad portfolio. Elevation margins from sales of inventory replaced and exceeded the storage income we could have earned in the quarter as markets were paying for grain to move to consumers and not to be held in storage. Trade's adjusted EBITDA for the quarter was $32.7 million, nearly double the adjusted EBITDA of $17.5 million in the second quarter of 2020. Moving to Slide eight. Ethanol's second quarter pre-tax income attributable to the company of $23.5 million was up dramatically from $900,000 in the second quarter of 2020. Co-product values, including high-protein feed, distillers corn oil and DDGs were again a significant contributor to Ethanol margins. This was driven by a significant increase in the market values of these products. Board crush margins were positive during the quarter as driving demand rebounded from a year ago. Third-party ethanol and our renewable diesel, fats and oils trading results were also higher year-over-year. Last, our net unrealized mark-to-market gain of $13.5 million was $4.8 million higher than the gain that we recorded in the second quarter of 2020. Ethanol recorded EBITDA of $47.2 million in the second quarter of 2021, up significantly from $10.3 million in the second quarter of last year. Turning to Slide nine. The Plant Nutrient business recorded pre-tax income of $24 million in the second quarter, an improvement of more than $4.5 million compared to second quarter 2020 pre-tax income of $19.4 million. Having well positioned inventory in a period of continued strong demand, led to healthy margin per ton improvement in our ag supply chain product lines. Volumes in our turf and specialty business increased approximately 9%. Each of our product lines again had gross profit improvement in the quarter, although our engineered granules manufacturing lines remain challenged with labor and material cost inflation. Plant Nutrients' EBITDA for the quarter was $31.6 million, an increase of $4.4 million from the second quarter of 2020. Turning to Slide 10. The Rail business recorded pre-tax earnings of $3.1 million in the second quarter of 2021 compared with pre-tax earnings of $2.6 million for the same period last year. The year-over-year change continues to reflect the opportunistic scrapping of older out of favor railcars at high scrap values, combined with good expense management. As we've discussed before, this industry is expected to have a slow recovery. There are signs of improvement in rail traffic, but lease renewal rates are still below long-term averages. Rail generated $15.2 million of EBITDA for the quarter, which was in line with the second quarter of 2020. And with that, I'd now like to turn things back to Pat for some thoughts about the remainder of the year.
Pat Bowe: Thanks, Brian. We continue to believe that opportunities in our agricultural portfolio will remain strong. While export demand has seasonally slowed, we expect high global demand for U.S. crops into 2022. This demand continues to support world grain trade and prices higher than historical averages. Crops in our draw areas are in great shape, while some other parts of the country are seeing dry conditions. We're optimistic about an abundant harvest that will provide us additional merchandising and elevation opportunities. Given these conditions, we remain positive in our outlook for our Trade segment. Worldwide supplies are projected to be tight beyond this fall's harvest and U.S. growing conditions are mixed. Some minimal board carry has returned to corn and wheat, and we're able to acquire more of the dry winter wheat harvest than we earlier estimated. A large 2021 harvest will reduce but not eliminate the impact of strong worldwide demand. We see good trading opportunities in these volatile markets and remain focused on disciplined risk management. Gasoline demand is up dramatically from the pandemic slowdown and it's expected to continue. Tight old crop corn supplies and plant maintenance shutdowns are expected to slow industry production through the third quarter. The strong demand for co-products continues to support our overall margin. We continue to produce and sell our new high-protein feed products from both our Colwich, Kansas and our Denison, Iowa plants at good margins. Our low CI efficient plants are well positioned to capitalize on higher co-product values and improved ethanol margins. We're awaiting carb approval to begin shipments from our Colwich, Kansas plant to California. We're hopeful that we'll receive it by the end of the third quarter. We expect our Plant Nutrient business to continue to perform well. Without the typical summer price reset and continued tight stocks, fall demand looks to be solid. Demand for our engineered granules and specialty liquids agricultural and industrial products has also been strong, and we expect that to trend on into the next year. Use rail carloads are up significantly from a year ago, but still lower than 2019 volumes. Rates for lease renewals have sequentially increased but are lower than long-term lease rates. We continue to see a slow recovery in this industry. We have and will continue to opportunistically scrap idle and out of favor railcars when it makes good economic sense to do so. We're very positive about our position in the ag supply chain and continue to pursue exciting growth opportunities, including those in sustainable ag. We remain committed to operating safely and efficiently, managing risk effectively and adding value for our -- all of our stakeholders. With that, I'd like to hand the call back to Valerie, and we'll be happy to entertain your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Ben Bienvenu of Stephens. Your line is open.
Ben Bienvenu: Hey good morning, everybody. Everybody, congrats on the quarter.
Pat Bowe: Thank you, Ben.
Ben Bienvenu: I want to ask, you gave some helpful commentary on the trade business moving forward. You expect high prices and continued volatility. You did note slightly improving carries. I'd be curious if you could elaborate on that a little bit as well as if you think about -- what sounds like a pretty good outlook for the back half of 2021. How would you compare that to what we saw in the back half of 2020, just as we think about the comparability of the two periods?
Pat Bowe: Sure, Ben. Yes. Lots of good stuff to unfold there. So we've had really good opportunities for our Trade Group and our merchandising team has just done an outstanding job capturing both those increased margins for each of our product lines. This is across a wide range of different products across the feed ingredients space in the U.S. as well as exports. We think those margins will remain strong. It's very interesting times to trade at an inverted market or a tighter S&D. We have a lot of experienced traders who know how to do just that. So I think that creates some good opportunities for us. We just put behind us, the wheat harvest, the soft red wheat harvest. We had a little bit more damage than what you would normally see because of late rains, but the volume was good, and that was good for us and we were able to put some of that wheat into the bins. And so some carriers come back to the cash markets for soft red wheat and a little bit into the nearby corn markets. Overall, I think the exciting part that we see is crop conditions that are tributary to elevators in our regions where we have assets are all in really good shape. As we know, up in the plains there has been some dryness in the Dakotas and Minnesota and some other parts of the grain belt that may hold us back from hitting really good production. But in the Indiana, Ohio, Michigan, Illinois, our good spots are really good. We're underway in harvest right now in Louisiana and have a good harvest coming off there, which is the first corn kind of coming out this year, which is kind of exciting. You made a very good point, Ben, though, I want to remind the analysts, we had a really good fourth quarter last year. If you recall, because of the lack of carry, we shipped an extremely high amount of soybeans out in the fourth quarter. It had a really good fourth quarter. So we see we'll have a -- I think we have a good chance of having a very comparable quarter or second half to the year, I should say, second half overall to last year with potential to exceed it if things go away. But if we had a real strong quarter that matched last year, we'd be very happy with that. As we know, up in the plains has been some dryness in North Dakota and Minnesota and some other parts of the grain belt that may hold us back from hitting really good production. But in the Indiana, Ohio, Michigan, Illinois, our good spots are really good. We're underway in harvest right now in the Louisiana and have a good harvest coming off there which is the first one kind of coming out this year which is kind of exciting. You made a very good point than though I want to remind the analysts we had a really good fourth quarter last year. If you recall because of the lack of carry, we shipped an external high amount of soybeans out in the fourth quarter. It had a really good fourth quarter. So, we see we'll have a think we'll have a good chance of having a very comparable quarter of second half of the year, should say second half overall to last year with potential to exceed it if things go away. But if we had a real strong quarter than March last year, we'd be very happy with that.
Ben Bienvenu: Yes. Understandable. Great. That's great color. You talked about getting the carb pathway certified approval. Once you have that pathway for California, how should we think about your ability to ramp up shipments? Is it just a step function change? Or does it ramp up? Yes, I'd be curious to hear about that.
Pat Bowe: Yes, it ramps up because the thing is if we ship carbs ahead of time, expect an approval, that would be very uneconomic. So we won't take any trains shipped out of Kansas to the West Coast until we have approval. It's taken a little longer than we thought. So we're a little disappointed with the process, and maybe that's just classic government approval process, but we're behind where we would like to be, but we're optimistic about having that carb approval and being able to ship, as I mentioned in our comments. So we won't ship anything ahead of time. We won't -- we'll ship promptly, and that sort of will be all take a little time to build up shipments as we get started.
Ben Bienvenu: Okay. Great. Last one for me. Just on ethanol. Just curious to your thoughts on kind of the export environment, your views there as well as just kind of your outlook for S&D. I know we got a little bit better stocks number today. Production seems like it had been using all for the last few weeks. I know maybe it's -- maybe this commentary is reactive. I'd be curious to get kind of your perspective or proactive view on how you see the market moving forward.
Pat Bowe: Yes. Ben, I think you're right on top of it. So stocks were out just before the call started and were a little bit softer, and demand was a little better. So I think we're going to finish it from a summer driving season strongly. I think a big question probably would have to be what the implications of the delta variant and Covid will be toward any restrained return to work type programs. But in general, we've been optimistic about what the gasoline demand looks like. Exports, I'd say probably flat back to '19 levels. So we'll be steady, but we don't see any big pickups right now that we're aware of. Even though that U.S. ethanol is fairly priced. So we're kind of excited about what the outlook is for ethanol. I think a big challenge maybe for some players in the industry is really just the price and availability of corn with a really tight inverse right now, and some will be taking their normal seasonal spring shutdowns. And so we're kind of think it will remain tight and we think spring shut downs, I'm sorry, fall, second round shutdowns. But I think we're going to see pretty tight S&D through the finish of the year. So we're feeling pretty good about the way things look today and how ethanol is shaping up.
Ben Bienvenu: Okay. Great. Congrats again and good luck on the back half.
Pat Bowe: Yes. Thank you.
Operator: Our next question comes from Ken Zaslow of Bank of Montreal.
Ken Zaslow: Hi. Good morning, guys. Just a couple of questions. One is your -- the crops that are around you guys are actually, again, as you said, coming out better than the rest of the corn crop. What incremental opportunities does that bring to you given that you'll have the line and it will be tight -- will it create a greater basis or opportunity by having it in a -- usually -- or not usually a couple of years back, it was the index of what you had.
Pat Bowe: Yes.
Ken Zaslow: Now it seems like you guys are getting the benefit. So how does that play out over the next -- the crop season? How does that work out?
Pat Bowe: Yes. That's a good point, Ken. And you remember 2019, when the Eastern Belt was extremely wet and how that really kind of hurt us with the total production. The big thing is really about total production, just having those bushels available even like right now, even though wheat quality probably wasn't as good as we would have liked to see with some late rains causing some sprouting, wheat production was good. So volume was good, and we're seeing that across our scales here in the last few weeks. The same could be true for fall harvest. It looks good across the majority of the Midwest and yields for corn should be strong. So we're feeling just more volume is always good, and that may also keep some pressure on the bases. We like to see those opportunities with some parts of the country will not be as good and this -- we may have some disruption, where we'll have different pockets of the country that will be short relative to others. So that creates some good domestic trading opportunity. So I think that will continue and be good for us and good for the industry. It's tough on those parts of the country where they've been successively dry and just won't have that same type of production.
Ken Zaslow: Okay. And then on the Ethanol side, two questions here. I'll start with, one is, how much -- it was your yield on corn oil? And were you able to -- I'm assuming, generate the -- a good percentage of your margin structure from corn oil. Is that how to think about it? If I take corn oil out, I'm assuming your margins would have been vastly different, but I'm assuming -- can you frame that for us?
Pat Bowe: Yes. So if you see what I mean, I mean, corn oil has moved from lows down in $0.15 a pound up to the $0.50 to $0.60 a pound. So we're squeezing every ounce we can out of corn oil. There are some potential for some new technologies. We've not fully deployed a brand-new extensive oil extraction technology yet. But we are using our conventional technologies to get as high as yield as possible, which we're achieving. And we've set up a veg oil trading desk over a year ago. And so that veg oil trading desk handles not only the DCO from our plants, but from other plants as well as trading, white grease, fats and soybean oil and other products. So we've become a pretty significant supplier for the renewable diesel market. And we see that green diesel feedstock to be a big business for us. While we're not core as a crusher of bean oil or a processor of beef to produce tallow, we do see ourselves as a merchant that can originate raw materials and work on supply agreements with several renewable diesel players, and we have several of those in place now. So the exciting thing for us overall has been the emergence of this new renewable diesel market and where we can fit within that. So I think it's broader than just DCO, we have to look at the entire veg oil complex.
Ken Zaslow: And have you thought about participating in the renewable diesel margins with corn oil and share -- being able to get a share of that? Or is it more likely you're just going to sell to the open market? How do you think that you're going to be able to leverage the opportunity?
Pat Bowe: Yes. Well, that's the exciting part right now. There's a lot of discussions going on, both on the supply side, where we're working with others who have the raw materials. And we're also working with the renewable diesel producers as well. As you know, we have a partnership with Marathon Petroleum in our ethanol space and they're a player in the renewable diesel. So we have a good relationship with them. And we've had lots of discussions with others that are now -- a lot of them are new participants in this industry, right? So a lot of this is new to everybody. All of us in the ag side are very excited about it, and it's going to create some partnerships and opportunities with supply agreements or equity participation. So we're kind of in the middle of all that right now with nothing clear to announce, but we're -- lots of good discussions going on with people within both industries.
Ken Zaslow: Okay. And then my last question is on ethanol outlook. Some of your peers kind of said that maybe the next quarter will be soft and the fourth quarter will be better. Do you guys see anything about that? And how do you see that playing out? And again, I would assume into 2022, you think the ethanol drag of 2021 will be over and you'll be in a better situation in 2022. Just kind of figuring out what your thoughts are on ethanol. Short and long-term and I will leave it there. Thank you.
Pat Bowe: I agree with those comments. I think that the challenge for most players in the industry is the -- just the high corn basis and high corn prices in the third quarter. So third quarter will have lesser margin opportunity than the fourth quarter. Soybean oil has got -- soybean meal, I'm sorry, has come down a little bit, if you wanted to say the feed market values have softened from where they were. Still don't have international DDG exports or DDG markets have been a little bit muted. So margins are if not as good as in the third quarter as we think we'll see in the fourth quarter. That remains to be seen, but we're optimistic about fourth quarter and into '22. So I'm not for sure, Ken, you're going to ask me about the $300 million EBITDA because –
Ken Zaslow: I don't have to anymore.
Pat Bowe: I just want to get credit for hitting the trailing 12,344. So we're -- you remind us of that quite often, so I'm excited that we're able to do that.
Ken Zaslow: You should be. And I take nothing away from you, and I think you've done an excellent job, and I never see that usually in our calls. So I happen to agree that you have done a great job.
Pat Bowe: Thank you.
Operator: Our next question comes from Eric Larson of Seaport Research.
Eric Larson: Thank you. Good morning, everyone. So my first question is, as you enter the third quarter, what is your MTM derivative balance?
Brian Valentine: It's -- actually, Eric, it's kind of more or less a wash. It's probably plus or minus $1 million to $2 million of gains sitting on the balance sheet, but it's more or less a wash as we sit today. So to your point about the question you probably asked last time we were at year-end, a lot of that stuff, as you had predicted, reversed itself.
Pat Bowe: The good news about it Eric -- because of our mark-to-market positions on our ethanol crush. We had some earlier big losses we took as hedge losses in -- we got that back in the quarter and in spades. As Brian mentioned, we don't have much right now. Now that could -- however, the quarter ends in the third and fourth, those numbers can shift quite a bit just on the ending markets because you have so much volatility. It was just nice to see that MTM come back to us and have that booked. So that felt really nice.
Eric Larson: Yes. No, it really was. And I figured that that had probably happened because the grain price volatility, the -- if you want to call it the grain dip because the second quarter was probably the most volatile grain dips I've seen in quite some time, maybe 10 years. That was pretty amazing. So I figured that you probably got the benefit of those MTMs reversing themselves. So when you look at -- to the prior question, I believe it was Ben, talking about the second half. I clearly understand probably the difficult comp you have in trading, but you did lose a good chunk of money in ethanol in the fourth quarter. I mean, ethanol isn't a strong fourth quarter it's more on the kind of the seasonal down swing, but you're also going to have probably relatively tight corn supplies. Yet, we're going to have a good crop this year, but we're not going to -- it's not going to be something that blows the cover off the ball. And that's going to encourage a lot of planting next year and farmers should utilize a lot in the fall. I mean, so you might be up against some difficult comps in trading and maybe -- but it doesn't seem like it's a stretch for your other areas. Is that a fair observation?
Pat Bowe: I think it's really fair, and I'll let Brian chime in here. I think the number we don't know for sure will be how ethanol finishes. In fact, we talked about driving demand and how that looks. We're optimistic and feel good about it. So that's a number that could lap and be much better than last year. Trade, just as I reminded, Ben, we had a really good bean elevation period in the fourth quarter last year. Whether that will repeat itself, that kind of remains to be seen. But we are going to have a good crop. We are going to have tight supplies. We do have higher margins. So we feel good about it, but to say we're going to blow it out of the water and beat last year's by huge number that, in grain in trading, that would be hard. PN [indiscernible] you can give me a hard time, Eric, because I was probably a little more conservative and you're pushing us on that fertilizer number, and we've had a really good run in fertilizer. Prices are stable, as you said. We didn't get a reset into the fourth quarter or second half of the year. So we're pretty feeling good about it and should see good fall applications. Beans have been wet, as you know. And so there could be some good sidedress applications coming under beans in a lot of our drying areas. So we're optimistic about fall PN and fall ethanol, but just have to execute against it.
Eric Larson: Okay. And then just the final comment kind of on the fourth quarter. We've seen the sharp inverse in the futures curve flatten itself out. And it flattened itself off quite a bit faster than I would have thought. I guess that maybe talks about how much of the weather premium we had in that market in old crop, maybe in May and early June. But I didn't -- I really haven't put any storage and come into my grain number for the fourth quarter because I just didn't think a lot of that would be available. Should we be a little bit more optimistic on some storage income for fourth quarter?
Pat Bowe: Yes, a little bit. Like I said, we -- wheat storage, we're getting a little bit of a carry there, grain, a little bit cash carry in the nearbys. But I don't think those are going to be big numbers. I think the most important thing will just be to have a big crop and maybe see some reaction with weaker premiums at harvest time and a good trade flow. That's the biggest thing. If we get a little bit carry, that will just be cherry on the top. But we're not counting on that to happen, and it's likely not going to be big that we expect right now.
Eric Larson: Okay. So my middle name is Ken. So I'm going to ask the next question. So what about $300 million of adjusted EBITDA for '22 or better.
Brian Valentine: For '22, $300 million or better?
Eric Larson: Yes. Yes. I mean -- congratulations.
Brian Valentine: I'd say we feel good, right? We just did a trailing 12 months of north of $340 million. As Pat said, we feel good about the back half of this year, and hopefully, momentum continues with good demand and good overall fundamentals. And hopefully, our team continues to execute really well.
Pat Bowe: I think the good news, Eric, is the cost savings and productivity initiatives that we put in place the last three years have paid off, and that's really making a big difference for us. And now our focus is really on growth. So we mentioned in our two to three-year outlook that we'd have some bolt on, either product or technology expansions at our facilities or as well as some M&A. We are working on several things in that area. We're excited about growth in ag. We're particularly excited about, just call it, sustainable ag in general, a lot of opportunities in carbon and what's happening at the farm level and as well as what's happening at the renewable diesel level. So if you look up and down across the chain, we feel we're very well positioned with our fertilizer business, our grain business and our biofuels business to participate in a lot of these renewable ag type opportunities. So this decarbonization of the U.S. economy, I think it's really starting to penetrate ag now, and there's probably no one as well placed as The Andersons to capitalize on that. So that's what makes us excited about the future.
Eric Larson: Got it. Well, thank you, Pat. I will definitely follow-up with you about the carb markets on a follow-up. But the final question I have, probably it goes to Brian here. And you mentioned it, Pat, and this is clearly obvious in your numbers. But the $40 million, I believe it's cumulative of about $40 million of cost saves over the last three or four years. And I believe you had said that about $25 million was going to be sustainable. I might be wrong in those numbers. Could you quickly -- and how much of that have you accomplished? Can you quickly give us an update on what you feel your true cost saves have come down in your P&L already?
Brian Valentine: Yes. If we look, Eric, if we think about total reductions relative to 2019, are approximately $35 million to $40 million and probably about $10 million compared to 2020. As we mentioned, a lot of that -- and what you're seeing in the P&L is being offset by higher incentive comp accruals this year. But we feel good about those have been executed and are in place, and we're making sure that we remain disciplined in our cost management and everything along the way.
Eric Larson: Okay. Good. Thanks, guys. And congrats on a great quarter again.
Pat Bowe: Thank you.
Operator: [Operator Instructions] I'm showing no further questions at this time. I'd like to turn the call back over to Mr. Hoelter for any closing remarks.
Mike Hoelter: Thanks, Valerie. We want to thank you all for joining us this morning. Our next earnings conference call is scheduled for Wednesday, November 3, 2021 at 11 a.m. Eastern Daylight time, when we will review our third quarter results. As always, thank you for your interest in The Andersons, and we look forward to speaking with you again soon.
Operator: Ladies and gentlemen this does conclude today’s conference. Thank you all for participating. You may all disconnect. Have a great day.